Analyst: David Begleiter – Deutsche Bank Securities PJ Juvekar – Citi Laurence Alexander – Jefferies & Co. Analyst for Robert Koort – Goldman Sachs Kevin McCarthy – Bank of America Merrill Lynch Mike Ritzenthaler – Piper Jaffray Jeffery Zekauskas – JP Morgan Michael Sison – Keybanc Capital Markets Steven Schwartz – First Analysis Corp. Dmitry Silversteyn – Longbow Research Edward Yang – Oppenheimer & Co. Christopher Shaw – Monness, Crespi, Hardt & Co.
Operator: Welcome to the Albermarle Corporation earnings conference call. At this time all participants are in listen only mode. We will be facilitating a question and answer session towards the end of today’s conference. (Operator Instructions) I would now like to turn the presentation over to your host Mr. Lorin Crenshaw, Director of Investor Relations and Communications.
Luther C. Kissam, IV : Welcome everyone to Albermarle’s second quarter 2012 earnings conference call. Our earnings were released after the close of the market yesterday and you’ll find out press release, earnings presentation, and non-GAAP reconciliations posted on our website under the investor’s section at www.Albermarle.com. Joining me on the call today are [Lu] Kissam, Chief Executive Officer; John Steitz, President and Chief Operating Officer; and Scott Tozier, Chief Financial Officer. As a reminder, some of the matters discussed during this conference call and webcast may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Please note the cautionary language about our forward-looking statements contained in our press release. That same language applies to this call. Also, to the extent we discuss any non-GAAP financial measures, you will find reconciliations in our press release which is posted on our website at www.Albermarle.com. With that I’ll turn the call over to [Lu].
Luther C. Kissam, IV : We appreciate the opportunity to share our second quarter financial results with you today. I’ll begin by commenting on the company’s quarterly results and share the updates related to some of our capital expansions as well as touch on our views for the rest of the year. John Steitz will then walk you through the business segment performance before Scott Tozier reviews select financial highlights. As usual, at the end of our prepared remarks we’ll open it up for your questions. I’m pleased to report second quarter results that reflect the continuation of our solid start to 2012 across each of our segments. For the quarter, our net income before special items was $111 million or $1.24 per share up 1% year-over-year. Net sales were $685 million down 8% year-over-year. Year-to-date our earnings have exceeded levels achieved in 2011 despite what I would categorize as a more challenging economic environment this year. EBTIDA for the quarter before special items was $181 million up 2% year-over-year and for the first six months EBITDA was $357 million before special items, also up 2% year-over-year. In the first half of 2012 volume gains in FCC catalysts and performance catalyst solutions coupled with strategic pricing moves and great cost management and execution on the manufacturing side offset lower volumes in polymer solutions and HPC catalysts allowing us to deliver a better financial performance than in the first half of 2011. As John will discuss in more detail later, during the second quarter record fine chemistry results reflected continued strength in bromine & derivatives and continued growth in our contract manufacturing franchise. Polymer delivered its second straight quarter of meaningful sequential earnings and margin improvements. Catalysts delivered year-over-year earnings growth but slipped sequentially and versus our expectations at the beginning of the year as HPC catalysts saw more pronounced seasonal decline in volume of fresh catalyst than usual. As we’ve said frequently over the years the relatively long sales cycle ranging from between 18 months and three years, depending on the customer, and the large nature of HPC orders makes forecasting inherently complex quarter-to-quarter. It’s important to note that we maintained our HPC market share during the second quarter where we were the incumbent supplier we supplied the vast majority of resales in the quarter. We even picked up a couple hundred net tons in situations where we were not the incumbent. This was simply a quarter when not many of the units we supply were up for resale. Fundamentally our catalyst franchise overall is maintaining market share, remains healthy, and continues to enjoy excellent competitive positioning and growth prospects. At this time I’d like to elaborate a little on the special item we reported this quarter related to approximately $95 million, $74 million after tax or $0.82 per share of charges related to our previously announced plans to exit the phosphorous flame retardant business. The cash outlay related to this exit is expected to be in the $5 to $15 million range with a payback in approximately one year. Earning wise, full year 2013 should benefit by somewhere between $0.10 and $0.13 per share from this action. We have a history of managing assets that are not meeting our performance targets and our sites in Avonmouth and Nanjing were disadvantage from a location, scale and product mix standpoint. The charges taken should be sufficient to cover all exit costs and this decision will not impact our ability to achieve 2015. Although our recent deep dive portfolio review is complete, you should expect us to remain vigilant to ensure all of our businesses meet the challenging return hurdles that we have set. I would like to emphasis that we remain committed to Project Gemini, a phosphorous based flame retardant with applications in high end servers and other attractive markets. In fact, we’re scheduled to launch our Project Gemini project towards the end of this year. Shutting down Nanjing and Avonmouth will have no impact on our ability to launch or grow this exciting new proprietary technology. With regard to our major capital projects we continue to proceed with the first two phases of our bromine expansion in Jordan. The initial phase for the bromine expansion should be completed this summer and will double the elemental bromine capacity in Jordan. While the second phase which will double capacity for completion fluids in HBr is also on track for completion by year end. However, we have recently decided to delay the third and final phase of the expansion which would double our tetrabromide capacity. Since we first announced this expansion project last spring we have consistently reiterated our commitment to being good stewards of bromine and to bring this capacity online as needed to meet market demands. At this point it appears that the long range forecasted demand for brominated derivatives can be supplied by the current bromine balances in Magnolia and Jordan. Of course, we retain maximum strategic flexibility and a competitive advantage as the only company with readily expandable assets in both of the world’s most prolific bromine producing regions. We are at a point where the design package for tetrabromide expansion is complete so it’s a logical place to hold. We will be able to restart the expansion in relatively short order as warranted. With respect to the three performance catalyst solutions related expansions we’ve commenced, the TEA joint venture in Saudi Arabia, the catalyst center in Korea, and the specialty catalyst capacity expansions in the US all are on track, within budget, and projected to come online by year end. The investment rationale supporting these efforts is quite strong with long running industry and megatrends driving market demand for this capacity. The US and Korean expansions will allow us to maintain our leading global position in organometallics and advance our competitive positioning within electronic materials. While the world scale TEA joint venture in Saudi will be the first aluminum alkyl facility in the Middle East satisfying demand and the need for security of supply in that region of the world. Coming into 2012 we knew we’d face a tough year in terms of growth given our exceptional 2011 results and uncertain global economic outlook, price of consumer confidence and questions surrounding rare earth prices. Six months into the year these headwinds have persisted and we expect to continue effectively managing through them. During the second quarter we saw a deterioration of certain of the indicators we used to gage the health of the markets our business serve, particularly with respect to electronics. Among the many indicators we monitor include the IPC book-to-bill ratio which remained above parity at 1.02 [inaudible] but has trended down the past two months. This contrast with the reading three months ago of 1.04 that has been trended up for three straight months. We also monitor Global Connector Conference as published by The Bishop Report. Three months ago this report showed a March reading of 65.4 with four straight months of increases. By contrast the June reading registered 44.1 and has fallen sharply in the past two months. As a result our current thinking is that the likelihood of a second half electronics recovery has substantially diminished over the past three months. Instead, a plateau seems more likely as best we can tell at the present time in which case assuming we don’t see further deterioration in these key end markets we would expect second half polymer solution performance levels to resemble the first half rather than show further sequential improvement. Other indicators for our business continued to show strength and bode well for the balance of the year including international, offshore, and Gulf of Mexico rig counts. Although, I would note that most recently the deep water rig count in the Gulf was still only 19 versus the 33 deep water rigs that were in service before the BP oil spill. Refinery margins remain fairly solid in most areas of the world and refinery conversion capacity growth seems to be trending up and to date bromine prices are holding up well. In closing, we’ve previously talked about our expectations for global economic expansion in the second half, that now does not appear to be the case. As a result, we expect that our businesses will generate earnings for the full year flat to modestly higher than in 2011 and end the year having made further progress towards the strategic goals we outlined as a part of Vision 2015. This will set us up nicely for 2013 when the impact of the major investments I discussed earlier should become positive contributors to our financial results. With that, I’ll turn the call over to John to discuss our operational performance for the quarter.
John M. Steitz : I’ll begin with catalyst which reported second quarter net sales of $229 million down 14% year-over-year, segment income of $67 million up 2% year-over-year, and segment margins of 29.3% up 470 basis points year-over-year. HPC revenues were down $60 million in the second quarter compared to both second quarter of last year and the last quarter. This is without doubt the reason or the company’s revenue decline this quarter. We are encouraged that we will have a stronger second half resulting in growth for our HPC business this year. We are also encouraged by an increasingly sour crude slate and trends of improving global air quality. For example, recently Russia has instituted a 10 ppm sulfur standard for gasoline and diesel to be in place by the end of 2014 with incentives for early adoption. FCC fundamentals were quite strong with double digit volume gains compared to a weak second quarter of last year. We experienced a combination of improved operating rates among certain large US customers along with growth in emerging markets. Higher base pricing is improving the bottom line and the available crude slate continues to become heavier, more complex, and more inconsistent. FCC will continue however to face second half top line headwinds due to lower rare earth pricing. Our performance catalyst solutions business continues to deliver strong results year-to-date and during the quarter saw operating profits rise 26% year-over-year, unit volumes up mid single digits year-over-year and profitability step up by 500 basis points. The PCS division’s results were principally driven by the core polymer catalyst group where operating profits rose over 30% driven by a continuation of long term trends, driving growth including capacity expansions among customers to meet increased demand for plastics in developing markets in particular and continued conversion in capacity among customers in developed markets working towards higher value specialty plastics which require our high performing metallocene activators. Moving on to polymer solutions, we were pleased to see a continued profit recovery in this business and broad based sequential volume growth across most end markets. Net sales for the quarter of $247 million were down 15% year-over-year and rose 8% quarter-on-quarter while segment income of $64 million was down 17% year-over-year compared to a record but rose 20% versus the prior quarter. Although the first half year-over-year comparisons have not shown gains given the strength of the comparable period, sequential volume and profit gains were fairly broad based across our fire safety portfolio with connectors, wire and cable, and the construction end markets exhibiting a good tone while printed wiring board demand, which impacts our tetrabrome sales remains sluggish. As a result overall, while brominated flame retardant sales and operating profits were down 17% year-over-year respectively, they rose 11% and 19% sequentially and mineral flame retardant profits were also stronger sequentially up nearly 20% as strength in Asia and the Middle East offset softer European construction and automotive end markets. As we enter the third quarter, the July order book trends indicate an improvement over last year. Overall it appears to support our current view that volumes are more likely to be flat to up modestly in the third quarter. We remain focused on closely tracking our customer needs and managing our cash employed. Fine chemistry has established an impressive growth and profitability pace year-to-date and generated record net sales of $209 million this quarter, up 13% year-over-year and record segment income of $44 million up 17% year-over-year. Segment margins of 21% also represented an all time record and were up 80 basis points year-over-year. Fine chemistry services results were particularly strong with sales up 33% and operating profits up 67% while performance chemicals sales were up 5% and operating profits down 5% from last year’s record quarter for this division. The outstanding year-over-year growth in fine chemistry services was mainly driven by record custom service profits which nearly doubled year-over-year. New contracts and growth of existing contracts across high viscosity lubricants, ag intermediates, and specialty pharma contributed to this growth. Upside was also attributable to increased demand for our NBPT product for use as a fertilizer stabilizer. Overall, the level of inquiries and estimated size of our current pipeline has never been higher within fine chemistry services which bodes well for the balance of the year and 2013. Performance chemical strivers this quarter included sequential improvement in clear brine fluid volumes which continued gaining momentum as international offshore rig counts remain at healthy levels. Growth remains biased towards developing markets while the eventual tailwind of a rejuvenated Gulf of Mexico is still expected to be more second half weighted. This division also benefited from record performance within our specialty bromine derivatives portfolio reflecting excellent growth and in some instances new product traction across our food safety, water treatment, and industrial cleaning businesses. We entered 2012 with the view that fine chemistry would deliver the greatest percentage earnings growth among all of our GBUs. The business has certainly delivered through the first half and maintains a positive outlook for the balance of the year. With that, I’ll turn it over to Scott to discuss our financial results in greater detail.
Scott A. Tozier : In light of the current environment, we are pleased to have delivered first half financial results that show improved earnings generation and profitability levels year-over-year with operating profits and EBITDA excluding specialty items up low single digits and profitability as measured by EBITDA margins up 244 basis points to 26.4%. Let me start by highlighting a few P&L items. R&D expense is up 6% year-over-year through the first half of the year reflecting our investment in organic growth opportunities including the strategic adjacency initiatives we have outlined as part of Vision 2015. As a percent of revenue, R&D costs were up 25 basis points to 2.9% versus 2.6% for the comparable period in 2011. Through six months, SG&A expense is down slightly on a year-over-year basis principally driven by lower personal related costs and sales commissions. Year-to-date as a percentage of sales these costs are up slightly by 28 basis points to 11.1%. Pension expense has risen over $5 million year-to-date on a year-over-year basis due to a decline in the discount rate used to measure our pension obligations and lower than forecasted asset performance in 2011. We continue to expect pension expenses to rise roughly $20 million on an annualized basis this year as we have noted throughout the year. However, our funded status remains quite strong, nearly 100% and we do not expect to need to make any meaningful cash contributes to our plans until 2014 at the earliest. Our effective tax rate for the quarter excluding specials was 26% up 430 basis points compared with the year ago rate of 21.7% driven primarily by increased profitability at higher tax rate countries, most notably in the US, and changes in tax regulations. At this time we continue to expect our full year rate excluding specials to be around 25.7%. Finally, from a foreign exchange standpoint we estimate that year-to-date the strengthening of the dollar primarily against the Euro has resulted in approximately a $15 million lower revenue and $2 million lower operating profits. If it persists near current levels through the end of 2012 we estimate that the second half impact would be on the order of approximately $35 million lower revenue and $5 million lower operating profit. Although EBITDA excluding special items grew during the quarter, cash generation slowed due to higher working capital levels. Specifically net working capital rose $55 million during the quarter and is up $94 million versus yearend or 18% due to higher inventory levels built in anticipation of increased market demand and plant shutdowns due to turnaround and cap ex projects particularly in HPC catalyst and flame retardants. We also saw higher accounts receivable levels given our strong June sales. Net working capital was 21% of revenue at quarter end down 155 basis points year-over-year but up 358 basis points from year end. With our expectations for second half recovery having been revised we will tightly manage inventory levels through the balance of the year to reflect end market realities. This may result in some decree of lower factory utilization vis-à-vis our prior second half expectations. Receivables remain good quality with our past dues at only 8% and of note, our European customers are paying on time with no indication that this trend will change. Overall, our balance sheet remains in excellent shape with net debt of $274 million excluding $19 million in non-guaranteed debt from our JBC joint venture. This is up $58 million quarter-over-quarter mainly due to the higher working capital. Net debt to EBITDA ended the period at only .4 times and net debt to cap was 14%. Our strong cash and low leverage continue to give us options and tremendous flexibility as we work towards Vision 2015. Free cash flow defined as cash flow from operations adding back pension and close retirement contributions and subtracting capital expenditures was $63 million through the first six months excluding special items, down $71 million year-over-year due to a combination of the higher working capital and higher cap ex. Specifically cash from operations to date of $190 million is down $12 million year-over-year or 6% mainly due to higher working capital spending. While cap ex to date of $127 million is up $59 million year-over-year reflecting continued investment in the major strategic projects we’ve commenced in South Korea, Jordan and here in the US. With the delayed third phase of the Jordanian expansion, we now expect cap ex to be approximately $275 million for 2012 with roughly $75 million attributable to that expansion. Finally, we made $18 million in dividend payments during the quarter, up 19% year-over-year and completed $14 million in share repurchases. With that, I’ll turn the call back over to Lorin for Q&A.
Operator: (Operator Instructions) Your first question comes from David Begleiter – Deutsche Bank Securities.
David Begleiter – Deutsche Bank Securities: With respect to your lower guidance can you go through by segment where the biggest deltas are versus what you gave us back in April?
Luther C. Kissam, IV : I think if you really look at catalyst we’ve got really tough comp and we talked about 80/80/80 if you remember that, those were the kind of numbers and I think as we build back towards the fourth quarter we’ll get there. I think we’ll be a little bit lower than that in the third, hopefully we can work to get up there but we’ll be lower in the third and probably at that or above in the fourth as we build on that HPC volume back. I think that we’ll also see – I’m confident in fine chemical’s ability to be around that 40 range and then it remains to be seen what’s going to happen with polymers. We’re seeing a different – if you listen to my comments, we’re seeing different end market movements and the trends are different than they were in the first quarter so it remains to be seen what kind of that recovery is. We think it’s going to be flat rather than continue the sequential improvement so I think the polymers would probably be closer to what it is the first half and we wouldn’t see that continued sequential growth.
David Begleiter – Deutsche Bank Securities: John, with respect to bromine [F4] pricing, I know the deck says overall pricing is holding. I know stock pricing for bromines have been a little bit weaker. Any signs of weakness in your bromine [F4] pricing even in pockets?
John M. Steitz : Let me give you a little commentary on that because overall it’s a very positive story for us. If you look at the entire brominated flame retardant portfolio, prices are up both year-over-year and sequentially here over 10%. If you strip out tetrabrome our prices are up year-over-year just under 20%. So I think we’re really positioning the business very well when volume resumes at more normalized levels. Tetrabrome is down a little bit sequentially but we’re talking in the 2% to 3% range so it’s really held up very, very well.
David Begleiter – Deutsche Bank Securities: FCC I know was a weak quarter a year ago, but are you gaining any share in FCCs?
John M. Steitz : I think to answer your question, no. I think our particular situation if you compare it to last year, we had a number of large customers who had significant down time and that really affected our volumes last year. So we’re seeing now positive trends year-over-year for certain and normal seasonal sequential improvements as well. I think the overall market is being aided a bit by this ethanol situation related corn too. I think there’s a higher amount of gasoline and diesel from petroleum basis rather than a lot of the ethanol that had been used previously.
Operator: Your next question comes from PJ Juvekar – Citi.
PJ Juvekar – Citi: In catalyst your top line was down 14% but margins were up. Can you just discuss how much of the top line was from lower HPC volumes and lower rare earth prices?
John M. Steitz : Really if you look at the decline both sequentially and year-over-year it’s really all HPC. With HPC we had a unique set of circumstances. We had metal prices declining, that was part of it. We had an exceptionally profitable order go out in the second quarter of last year so mix was a bit of an issue for us and then we had volume declines year-over-year. We also had a pretty good size order slip because of some bureaucratic issues in the Middle East, slipped into July. But it is really all HPC. Now, FCC we did have rare earth indexing on the pricing impact and my guess is that’s between $10 and $15 million of year-over-year declines so hopefully that kind of frames it up for you. But, overall we’re very pleased with the margin holding up at 29% plus so that was very positive and I think positions us well for the future.
PJ Juvekar – Citi: Would you say that your margins in HPC and FCC are comparable at this point?
John M. Steitz : Yes, I’d say that all three businesses in our catalyst portfolio have comparable margins at this point.
PJ Juvekar – Citi: Just on bromine in electronics, I know you don’t sell much in bromine but can you tell us what’s happening to [merchant] bromine prices in China and then what’s happening to clear brine’s pricing?
John M. Steitz : Pricing in China is down a bit compared to where it was last year. Our elemental bromine pricing is heading very steady around $4,000 a ton so again, I think we’re positioned when we see some volume improvement across the portfolio. In clear brines we’ve had some really nice traction in terms of pricing. Year-over-year pricing is up by 14% and sequentially about 10% so once again positioned very well for continued improvement.
Operator: Your next question comes from Laurence Alexander – Jefferies & Co.
Laurence Alexander – Jefferies & Co.: I guess two questions, first how much of an earnings headwind do you think you will get in the back half of the year from better working capital management and how much do you expect to reduce your working capital?
Luther C. Kissam, IV : It’s always difficult to say exactly what we’re going to get a headwind from a volume variance because that’s what we’re talking about. If you look at that range it can be somewhere in the range from anywhere from $20 to $35 million kind of range of a volume variance in the second half for us to manage to the working capital levels that we think are appropriate going forward. I’d say that part of that – I have to be mindful that in HPC catalyst where we’ve built some inventory that was done and it has to be done to meet the fourth quarter demand as well as the first quarter of 2013 demand because we’ve got some turnarounds at our own units and we’ve got some capital projects that are going to benefit us in the long run to give us more flexibility in those assets. We knew those units were going to be down. We always anticipated that we were going to be building that inventory and that it would be worked down over the course of the fourth quarter. W e were also, if you remember, end of the first quarter thought we were going to have an increase in the electronic demand, that’s where the indices were tracking, we now see that so where it’s going to hit us really is going to be in polymers and maybe a little ripple back into fine chemicals for the bromine production. But that would be the kind of range that we think we’ll see in the second half.
Laurence Alexander – Jefferies & Co.: Can you speak a little bit about trends in curatives and stabilizers and whether you think there’s going to be any destocking [inaudible] in the back half?
John M. Steitz : Stabilizers and curatives, I think we’re in a really good position on curatives. If you look at the business sequentially volumes were up sequentially about 10% which is a good sign. I think we went through a fair amount of destocking in additives in the back half of last year so we always had a view that we could grow the business year-over-year this year in both stabilizers and curatives and that’s still our projection it hasn’t changed. So I think we’re pretty well positioned there and have worked through the destocking issues of the back half of last year.
Operator: Your next question comes from Analyst for Robert Koort – Goldman Sachs.
Analyst for Robert Koort – Goldman Sachs: I had a question on the fine chemistry, were the positive trends you saw in the quarter pretty consistent month-to-month or were there any changes?
John M. Steitz : No, I’d say pretty consistent. It’s a business that we can predict with a fair amount of accuracy. The only exception to that is clear brines tends to be fairly lumpy but I think that was more heavily weighted in June compared to the other months. Then fine chemistry services was pretty steady. Our ag businesses, specialty ag and the NBPT product pretty steady through the course of the quarter. This BioTerra drug, small pox drug for SIGA was pretty much we may produce that through the course of the quarter and made more shipments in June, but we had always expected that so pretty steady in that business.
Analyst for Robert Koort – Goldman Sachs: How would things have looked without the huge driver from the clear brine fluids?
John M. Steitz : Oh, I thought one of the real bright spots was our fine chemistry services business and especially custom services so I think they’re very equally proportioned this quarter.
Operator: Your next question comes from Kevin McCarthy – Bank of America Merrill Lynch.
Kevin McCarthy – Bank of America Merrill Lynch: Just to follow up on fine chemistry services would you expect profit in that business in the back half of the year to be flat, down, or up relative to the front half of 2012?
John M. Steitz : I’d say it’s pretty steady compared to first half. We have a heavier orientation towards some ag intermediates that begins in September/October and that business is continuing to do pretty well and I know you’re very familiar with drought and the corn issues and I think farmers are trying to do anything they can to hold these crops in line, especially corn. We’re seeing a pretty strong specialty ag and ag intermediates business and the NBPT product that we do for a fantastic company who is really driving it globally, is a great insurance policy in drought conditions and we’re seeing that product really grow around the world. As a matter of fact, we’re working on our third expansion which will include a new plant for that business so we’re very excited about it overall.
Kevin McCarthy – Bank of America Merrill Lynch: If I may shift gears to catalyst, with regard to HPC it sounds like you’ve maintained share and have a fairly positive outlook in that product line for the back half of the year so is it the case that the Q2 volume weakness was strictly a function of order timing and customer maintenance schedules or has there been in your view any structural change with regard to the level of competitive intensity?
Luther C. Kissam, IV : I don’t think there’s been any competitive change to the level of the intensity. I think it really was, as I tried to say in my comments, where we were the incumbent we won what we expected to win, where we weren’t the incumbent we picked up a little bit and so overall we won the units that we expected to win and we would have hoped to pick up some other ones where we weren’t the incumbent but we didn’t. So I don’t think there’s any change in the dynamic, I don’t believe the market share has changed at all. I think we’re winning the units where we’re the incumbents and where we’re not just like we’ve always said it’s a tough slate to get in there. I feel strong about this business. If you look at the fourth quarter we’re going to be building – I don’t know if fourth quarter is going to be a record but I think it’s going to be close. I feel like you’re going to see two bookings in the first and fourth quarter of HPC volumes for the year that are going to be really really strong, second is going to be weaker and we’re going to build in the third towards that record in the fourth.
Kevin McCarthy – Bank of America Merrill Lynch: A final one if I may, just a quick update on your lithium extraction project in Arkansas?
Luther C. Kissam, IV : We talked about it the last time we’re working on a new technology that could be a game changer for us in terms of cost, if we can get it to the cost place where we need to be. We’re conducting those experiments in the lab in pilot scale and as always we’re finding a little bit of problems that we weren’t quite sure about but we’re working through those and we’re making nice progress and I think we’re still on track for getting to the market in that 2014/2015 time frame that we’ve talked about.
Operator: Your next question comes from Mike Ritzenthaler – Piper Jaffray.
Mike Ritzenthaler – Piper Jaffray: My first question, I just want to make sure I have something correct around the strength in fine chemistry. Would it be correct to say that the clear brines have yet to see a real resurgence after a mediocre start to the year?
John M. Steitz : That’s dead on. We saw sequential improvement but it’s still a ways away from some of the record sales levels we’ve had and so you’re dead on there. 
Mike Ritzenthaler – Piper Jaffray: Then just on the rig counts and things like that, does this resurgence, does it bode well for the timing of the phase two start up later this year for JBC?
Luther C. Kissam, IV : Yes.
John M. Steitz : I was just going to say that I think that positions us very well for the long term especially with the global diversity of that business.
Mike Ritzenthaler – Piper Jaffray: Then just within polymer solutions, I’d like to explore the lower charges for the non-controlling interest in JBC. I guess I’m a little confused about what that is and kind of the magnitude of the impact on operating income.
Scott A. Tozier : This is related to our overall production levels within JBC being lower on a year-over-year basis. Remember last year we had a record first half production and obviously this year we’re still coming out of that trough and as a result of that the minority interest that goes to our equity partner is lower than prior year.
Operator: Your next question comes from Jeffery Zekauskas – JP Morgan.
Jeffery Zekauskas – JP Morgan: Obviously ethylene prices and oil prices have come down which would influence the prices of the polymers you blend your flame retardants into and presumably your customer base would really want to decrease its inventory level so that it buys its polymers more cheaply. Is that something that’s affecting your bromine profile and do you disentangle that from your macro indicators that are showing weakness?
Scott A. Tozier : Let me take a crack at that and also just add a little commentary about our raw material and energy situation today. In 2012 compared to 2011 we’re seeing roughly about $105 million of raw material and energy decreases. About $10 million of that is energy, natural gas and utility related, another $85 of that is metals and rare earth. So it’s earth, moly, cobalt and nickel and then you have the balances is about $10 which is all petrochemical, benzene, phenol related. Hopefully that kind of corrals it for you. It’s not as great for us as it would seem right now. But to your question though, when I look at, and everybody has an opinion on that but when I look at the book-to-bill ratio in electronics being reasonable steady and then when I look at The Bishop Index which is a confidence index it has gone down dramatically so my view is that there is a fair amount of destocking going on also in our supply chain to answer your question. So I don’t think it’s as much raw material related as more just confidence and uncertainty.
Jeffery Zekauskas – JP Morgan: Can you give us an update on bromine uses for mercury removal both in the US and China? And, are you selling any material amount of product at this juncture and how do you see the next 12 months playing out?
Scott A. Tozier : Our mercury control business right now is still a very niche business. Our volumes are up both year-over-year and sequentially low double digit so it’s doing pretty well and it’s still though in those states that have regulations around mercury levels. We’re still hopeful over the long haul that it will grow but as you know there’s a lot of pressure on coal and coal production is down dramatically so we’ve got to keep a close eye on it. The fascinating thing to me is it’s such a cost effective economical solution for these utilities and so we’re continuing to work that side of it long term.
Luther C. Kissam, IV : I haven’t heard any update from the case that was filed against the EPA on the regulations related to mercury removal so the status hasn’t changed since the first quarter and I think there’s some uncertainty whether that will push the implementation time back some for the implementation of those regs. China still seems to be, as we talked in the first quarter, where they have been testing different products and understanding mercury emissions from the coal power plant. That’s obviously the biggest opportunity and we haven’t seen a change in that. Over the next 12 months while I would expect to still see moderate growth I don’t think you’re going to see any kind of step out until you get federal regulations being implemented as well as regulations in China being implemented so it may be pushed back a little bit but nothing has fundamentally changed from where we were on the last call.
Jeffery Zekauskas – JP Morgan: Which market do you think will open up first for you the US or China?
Luther C. Kissam, IV : That’s a really interesting question given the US court systems. I would anticipate that the US would open up sooner and I think with China you have to see what the next five year plan is and if they make that a priority or not. It would seem to me all indications are that they would but I still think the US will beat them by a little bit.
Jeffery Zekauskas – JP Morgan: Lastly, in the previous conference call you seemed very optimistic about your opportunities to make acquisitions and acquisitions of some size. Do you continue to be optimistic on that front or how do you see the acquisition environment?
Luther C. Kissam, IV : What I said about acquisitions is there are opportunities out there, multiples are high and there are a lot of bidders. So again, as I said at the investor day while we’ll be looking for acquisitions we certainly are out there in the market place doing it, they’re difficult to do. We’ve got to make sure we do the right one and I’d much rather be on this call in 2016 explaining why we fell short in doubling the business because we didn’t do an acquisition than on this call explaining why we did a bad acquisition. We’re going to remain diligent in looking for opportunities to return value to our shareholders but we’re not going to reach to try and do a bad deal.
Operator: Your next question comes from Michael Sison – Keybanc Capital Markets.
Michael Sison – Keybanc Capital Markets: In terms of bromine operating rates where did you end up in the second quarter? When you think about the third and the fourth given your outlook of second half being similar to the first half, does that operating rate go down, stay flat? Can you sort of give us a feel on that?
Luther C. Kissam, IV : I’m talking now from a bromine standpoint, an elemental bromine standpoint we were in that mid 70s range, 70s to 80s range and I would expect that to kind of last for the remainder of the year.
Michael Sison – Keybanc Capital Markets: And the derivative?
Luther C. Kissam, IV : The derivatives if you look at our performance chemicals they’d have been operating at higher rates than that and if you look at brominated flame retardants they would have been operating at a lower rate than that but you’ve got to really look – you’ve got to understand it product-by-product almost so when John talked about tetrabrome volumes being down, when tetrabrome is not running hard which we didn’t, it has a fairly significant impact on those operating rates so we were down below that for overall brominated flame retardants but tetrabrome was the leader in that.
Michael Sison – Keybanc Capital Markets: When you think about your confidence in the outlook that electronics stays sort of flat versus let’s say getting worse, can you give us a feel are your customers telling you that or are inventory levels fairly lean that give you some confidence there? Given where some of the semis have reported it seems like a bold forecast so far.
Scott A. Tozier : I think our customers are running very lean inventories because of the uncertainty you just described. If I look at connectors volumes have been fairly sluggish. Our AD10 business primarily into enclosures and TVs has been what I described as moderate and tetrabrome has been pretty weak. I think the tetrabrome inventories is really the first to go down and the first to come up and both situations usually happen very rapidly so we’re really trying to keep a close eye on it. But, once we see tetrabrome volumes pick up that will be I think a good indicator for us.
Michael Sison – Keybanc Capital Markets: Last question, you have a lot of capacity coming on into ’13 and some other positives, can you give us some of the areas you see in ’13 that is relatively visible for you as we close out the year?
Luther C. Kissam, IV : If I look at 2013 going forward from a growth standpoint I think fine chemistry will continue to grow. We’ve got some big opportunities from custom manufacturing. You’ll see the rig count in the Gulf of Mexico picking up and that should allow that lag time for when they are going to complete that well [inaudible] for our fluid completion business so I see fine chemistry continuing to grow year-over-year in 2013. Catalyst should have a step out year in 2013. We’ve got the TEA joint venture coming online in Saudi, we’ve got the Greenfield site coming online in Yeosu City Korea that gives us opportunity for customer manufacturing from a single site catalyst as well as electronic materials growth in that area of the world. Our HPC business should start off the year strong in 2013 and we’ve got what I believe will be a number of repeat [fills] and we’ll be past all of this rare surcharges and we continue to see strong growth in our FCC business. I think those two businesses particular have some strong growth. John, do you have something to add?
John M. Steitz : I’m just going to add a couple of things. We’ve got a biodiesel refill next year and we’ve just landed a order for some new technology for a new refinery that helps avoid the use of HF through catalysts. This is in Asia and it’s a big order and we’re really excited about it. I really think, just to reinforce what [Lu] said, 2014 can be a step out year for us.
Operator: Your next question comes from Steven Schwartz – First Analysis Corp.
Steven Schwartz – First Analysis Corp.: The first question just around HPC, what are your current growth expectations for volume this year? I think prior you have expected in mid single digits?
John M. Steitz : We’re still hoping to achieve that mid single digits.
Steven Schwartz – First Analysis Corp.: [Lu], when you mentioned fourth quarter could be a record in HPC is that just for fourth quarter given the seasonality that sometimes exists there or could it be even stronger than the first quarter you had this year which was I think exceptionally strong?
Luther C. Kissam, IV : We’re looking at numbers and if everything breaks right we could be looking at first quarter 2012 type numbers.
Steven Schwartz – First Analysis Corp.: Then just lastly, regarding SG&A and in the press release you mentioned performance based incentive compensation and perhaps this is a question for Scott, but I know you guys basically look at your potential performance for the year and then you accrue that compensation across the year. What was your assumption for that expense in the first quarter and what is your assumption for 2012 now?
Scott A. Tozier : Right now for between first quarter and second quarter we’re holding our expectation on that accrual at target so really limited change in that outlook.
John M. Steitz : And as our headcount goes up and down it gets adjusted. Then I’d add that the bigger impact was on commissions and that’s almost directly related to HPC volumes.
Steven Schwartz – First Analysis Corp.: So can you give us some guidance on corporate expense for the second half of the year and in line with that what SG&A might look like?
Scott A. Tozier : Corporate expense should be probably back in the low 20 range so I’d call it $20 to $22 million. Then I would expect SG&A to be in that $80 to $82 million range for the third and fourth quarter.
Operator: Your next question comes from Dmitry Silversteyn – Longbow Research.
Dmitry Silversteyn – Longbow Research: I was just wondering if you can provide a little bit of a detailed breakdown in each of the businesses between price, volume, and mix? I mean you talked about the individual moving pieces kind of within each business but it’s still hard for me to come out to sort of an overall divisional volume versus price versus foreign exchange component.
Luther C. Kissam, IV : Let me start and then I’m going to turn it over to John. In our business it is exceptionally difficult to talk about price and volume and that mix, that mixes impact on volume. If you look at for instance in fine chemistry, even within fine chemistry we can have a clear brine which is a high volume can move the volume one way or not but we’re also selling fine chemistry service which is for a lot of money per kilo or a lot of money per gram so it’s not as meaningful as you have in certain commodities where you have similar types of volumes and that. In polymer solutions where you’ve got mineral flame retardants with a much higher volume than brominated flame retardants with a much higher volume than brominated flame retardants but brominated flame retardants is more profitable. It’s the same thing in catalyst but with that John will give it a shot.
John M. Steitz : I think it’s more important to think sequentially but if you want some year-over-year numbers I’ll try to go into that but I’ll try and answer your question very quickly. Fine chemicals unit volume was actually up in the 5% to 6% range.
Dmitry Silversteyn – Longbow Research: That’s sequentially?
John M. Steitz : Sequentially, right. Performance chemicals was kind of an important driver there with more improved volumes in clear brines. We had our intermediates business as I said was reasonably strong too in the second quarter compared to the first. That was also aided by the mix with our custom services business some of which as [Lu] pointed out have very little unit volume so it was aided by that mix. In polymers you know you had actual unit volume up about 4% but what’s interesting is if I strip out phosphorous flame retardants out of that equation our unit volume was actually up about 6% so it’s not as bad as it seems alright. That was aided by mix because compared to the first quarter our bromine business, as I mentioned in terms of pricing held in there pretty well. In catalyst volumes sequentially were down a bit and that was all HPC so that has both a mix and an actual unit volume impact because FCC was up sequentially about 4% or 5%. Hopefully, that kind of frames it up for you. Performance catalyst solution was roughly flat up nicely year-over-year.
Dmitry Silversteyn – Longbow Research: It’s really down a little bit more in the polymer solutions business probably one of your more complex businesses when it comes to the different market exposures that they have. Can you talk about volume and pricing in a little bit more detail? I mean, you mentioned connectors and automotive markets being okay and printed volume board market being down a little bit so can you give us a little of detail of the difference between brominated flame retardants and mineral, curatives, antioxidants and also talk about what you’re seeing in terms of pricing trends and if your outlook is significantly different for the second half of the year than what the performance was in the first half?
John M. Steitz : Brominated flame retardants were up a little bit sequentially which was we think pretty good. It was down year-over-year pretty significantly. Last year in the first half I mean, it was really overheated in my opinion. We were selling at record volumes and producing at record volumes but on the encouraging side both sequentially and year-over-year brominated flame retardant pricing for the whole portfolio was up 10%. In mineral flame retardants it was roughly flat year-over-year but volumes were up by 5% sequentially. Pricing was down in that business but mostly euro related. There has been a lot of stability in our two key product lines here in our polymers business in terms of pricing. As I mentioned the phosphorous flame retardants getting that out of the portfolio will be a nice upside for us for next year and that volume by the way was down pretty significantly year-over-year as we exit that enterprise. Stabilizers and curatives pricing flat up a little bit year-over-year so it’s flat sequentially up a little bit year-over-year and volumes were roughly flat year-over-year but up nicely about 10% sequentially. Hopefully that gives you a little bit of flavor for it.
Dmitry Silversteyn – Longbow Research: As you move from being organometallics and zeolites supplier to becoming more of a polymerization, finished polymerization polymers supplier. This market has established players in it and as you get bigger in it do you expect to see kind of a competitive response or maybe you’re already seeing a competitive response either from the majors [inaudible] technology or some of your catalyst merchant competitors out there?
John M. Steitz : No, I really don’t. You work at such an intimate relationship between the supplier and customer on this basis. Pricing is very unique to the application. We’ve done a fair amount of licensing with some of the majors to expand our portfolio and then to expand into the high purity metal organics is a perfect adjacency for us. That pricing by the way, is priced on a per gram basis not a per kilo basis. As that market really picks up and this LED market really grows I think we’re going to be in a really good position. The last thing I’d say about that LED market is the pricing for the end products has come down so dramatically I think we’ll begin to see a lot more volume growth globally in that business. So I think with Korea coming up we’ll be really well positioned for it.
Operator: Your next question comes from Edward Yang – Oppenheimer & Co.
Edward Yang – Oppenheimer & Co.: Just on polymer solutions and tetrabrome, tetrabrome really didn’t see any recovery in the first quarter and was fairly weak this quarter as well so what kind of accounts for that relative weakness?
John M. Steitz : To me, and you know these indices awfully well, the book-to-bill ratio has held in there but that confidence index has gone down and this is a product line where a customer is pretty comfortable with the supply chains around the world so they can fairly dramatically increase their off take if they need and so intends to be I’d say more volatile than most of our other businesses. I believe that there’s been a lot of destocking this year as opposed to last year at this time where there could have been a fair amount of overstocking if you will.
Edward Yang – Oppenheimer & Co.: How confident are you that destocking has run its course? Your outlook for polymer solutions in general is for flattening out or plateau but historically that business has been kind of up a lot or down.
John M. Steitz : We’re just anticipating kind of flat to slightly improving volumes in the third quarter. We feel pretty confident in our ability to hit that so I think it’s a far different situation compared to last year at this time where most of the issues at least for us related to mineral flame retardant volumes and in Europe we saw the typical seasonal slowdown at this time of the year but with all the Italian, and Greece, and Spain issues last year hitting a real crescendo we saw the confidence factor of our customers continuing to decline and we had a lot of destocking in that business in the back half so we don’t see that happening. That order book in that business continues to hold up pretty well. To answer your question I think our confidence level is moderate to reasonably high that we can achieve what we told you today.
Edward Yang – Oppenheimer & Co.: On the tetrabrome side is there any impact from structural issues PCs to tablets, or Smartphones or anything like that?
John M. Steitz : I really don’t believe there’s been any secular issues like that. It’s such a global economy, tetrabrome is so cost effective in these applications the newer niche products has a very small penetration to date. We’re talking 5% to 6% of the total tetrabrome market so we’re not hearing any of that issue from our customer. But with that said we’re excited about introducing our new Gemini generation of products and for us that would be an entry into the real high end Apple iPad type of market so we’re excited about that.
Edward Yang – Oppenheimer & Co.: Just finally on catalyst it sounds like you’re expecting some pricing pressure degradation in the second half mostly related to rare earth. Is that all going to be just tied to rare earth’s pricing and what would be the magnitude of the price declines or pressures you’d see from that?
John M. Steitz : A great question, in the last quarter we saw about $12 to $15 million in decline in the second quarter. We’re probably looking somewhere in the $7 to $10 million decline in the third quarter but we’re working to offset that by other cost reduction activities, base price increases, really based on performance and overall lowering the rare earth percentages in our formulations. So with that we really hope we can moderate any additional profit hit this year and really set the stage for a robust 2013 so we’re excited about that.
Operator: Your final question comes from Christopher Shaw – Monness, Crespi, Hardt & Co.
Christopher Shaw – Monness, Crespi, Hardt & Co.: Just a quick one, I was just looking for a little more color on FCC in terms of you spoke a little bit of the geographies and that US operating rates were up and emerging markets were strong but why were the operating rates up in the US? Do you know why? And then just a little more color on what countries were strong and maybe what Europe was doing?
John M. Steitz : FCC last year in the first half we had a couple of major customers who were operating at really, really low rates, they were really struggling both on the east coast and in the southwest. It really hurt our volumes last year at this time. With that said, the obvious suspects in terms of your question still exist, Europe continues to be slow but it’s offset with some growth in India and the Middle East and then, this might be a little bit surprising but our Asian customer base continues to do quite well as they continue to build their petrochemical based business. So our higher propylene yield catalyst in FCC continued to do pretty well.
Lorin Crenshaw: At this time we’d like to thank everyone for their interest and encourage you to call with any further questions.
Operator: Thank you for your participation in today’s conference. This concludes the presentation you may now disconnect. Have a great day.